Laura Brown: Hello. This is Laura Brown, Senior Vice President of Communications and Investor Relations. With me today is Bill Chapman, Senior Director of Investor Relations. We are pleased to share with you some information regarding Grainger’s second quarter 2012 results via this audio web cast. Please also reference our 2012 second quarter earnings release issued today, July 18th, in addition to other information available on our Investor Relations website, to supplement this web cast. Before we begin, please remember that certain statements and projections of future results made in the press release and in this webcast constitute forward-looking information. These statements are based on current market conditions and competitive and regulatory expectations and involve risk and uncertainty. Please see our Form 10-K for a discussion of factors that relate to forward-looking statements.
. : As a result, we reiterated our 2012 sales growth guidance of 12 to 14% and raised the bottom end of our earnings per-share guidance as referenced in today’s earnings release. We will now expect EPS of $10.50 to $10.80 for the full year 2012. At the end of this recording we’ll talk more about our guidance and related assumptions. We’ll start with total company results, and then take a closer look at our segments. Company sales increased 12% versus the 2011 second quarter. We had 64 selling days in both quarters. Operating earnings increased 18 %, while net earnings increased 12 %. As highlighted in the earnings release, earnings per share of $2.63 for the quarter represents an all-time company record and represents a 12% increase versus 2011. The 2011 quarter included a $0.12 per-share benefit from the settlement of tax examinations; excluding this benefit, the earnings per share increased 18 % versus 2011. In a few moments we’ll analyze our sales results for the quarter. Let’s now walk down the operating section of the income statement. Gross profit margins increased 40 basis points to 43.5 %. Our purchasing scale enables us to manage price changes in line with the market and ahead of product cost inflation. We’ll provide more detail when we review the business by segment. It is important to note that our gross profit margin follows a fairly consistent annual pattern with generally the highest gross margins in the first quarter of each year. This is primarily driven by supplier funding for our annual customer trade shows early in the year, which is accounted for as a credit to cost of goods sold. So the sequential decline in our gross profit margin from 44.4% in the 2012 first quarter to 43.5% in the 2012 second quarter is normal and expected. Our company operating margin increased 80 basis points to 14%. This improvement was driven by solid sales growth, gross margin expansion and positive expense leverage. Operating expenses grew 11%, including $24 million in incremental growth-related spending in the quarter, and the operating expenses from the businesses in Europe and Brazil, which we acquired during the last 12 months. Let’s now focus on performance drivers during the quarter. In doing so, we’ll cover the following topics: First, sales by segment in the quarter and the month of June. Second, operating performance by segment. Third, cash generation and capital deployment. And finally, we’ll wrap up with a discussion of our 2012 guidance. As mentioned earlier, company sales increased 12% for the quarter. Daily sales growth by month was as follows; 12% in April, 13% in May, and 12% in June. The 12% sales growth for the quarter included 5 percentage points from acquisitions and a 2 percentage point decline from unfavorable foreign exchange. As a point of reference, foreign exchange represented a 1 percentage point headwind in the 2012 first quarter. On an organic basis, sales for the quarter increased 9% including 6 percentage points from volume and 3 percentage points from price. Let’s move on to sales by segment. We report two segments; the United States and Canada. Our remaining operations in Asia, Europe, and Latin America are reported under a grouping titled Other Businesses. Sales in the United States, which accounts for 77% of total company revenue, increased 7% in the quarter, consisting of 4% volume growth and 3% from price. Despite the hot weather in late June, sales of seasonal products were not a factor in the quarter or the month of June. Daily sales in the United States increased 7% in April, 8% in May and 7% in June. Let’s review sales performance by customer and market in the United States. Our growth drivers, which include increasing our product line, expanding customer sales coverage, enhancing our eCommerce capabilities, and increasing our inventory management solutions are enabling Grainger to grow faster than the economy and gain additional market share. This is evident when you look at the variety of customer end markets we serve in the United States and performance for each. Heavy Manufacturing was up in the high-single digits; Light Manufacturing, Commercial, Retail, Reseller and Natural Resources were up in the mid-single digits; Government was up in the low-single digits; and Contractors declined in the low-single digits. Now let’s turn our attention to the Canadian business. Sales in Canada represent 12% of total company revenues. For the quarter, sales in Canada increased 9% in U.S. dollars and 14% in local currency. The 14% local currency sales growth in the quarter consisted of 12% volume growth and 2 percentage points from price. From a customer standpoint, sales performance in Canada was driven by strong growth in the Commercial, Oil & Gas, Utilities and Contractor end markets. On a daily basis in Canadian dollars, sales increased 13% in April, 14% in May and 14% in June. Let’s conclude our discussion of sales for the quarter by looking at the Other Businesses. Again, this group includes our operations in Asia, Europe and Latin America and currently represents about 11% of total company sales. Sales for this group increased 84%, which consisted of a 75-percentage-point contribution from the acquired businesses in Europe and Brazil, 21 percentage points from volume, led by strong growth in Japan, partially offset by a 12-percentage-point decline from unfavorable foreign exchange. Earlier in the quarter, we reported sales results for April and May and shared some information regarding performance in those months. Let’s now take a look at June. There were 21 selling days in June of 2012, one less than in 2011. Total company sales were up 12% on a daily basis in June of 2012 versus June of 2011. The daily sales growth in June included 5 precentage points from acquisitions and a 2 percentage-point decline from unfavorable foreign exchange. Organic sales increased 9% on a daily basis, consisting of 6% volume growth and 3 percentage points from price inflation. In the United States, June daily sales were up 7%. This growth consisted of 4 percentage points of volume and 3 percentage points from price. We saw positive daily sales growth in all but one of our U.S. customer end markets as follows: Heavy and Light Manufacturing increased in the low-double digits; Government, Commercial, Reseller, Retail and Natural Resources increased in the mid-single digits; and Contractor was essentially flat. The mid-single digit sales growth to our Government customers is worth noting. As we shared with our May sales release, the fiscal year end for many state and local governments end in June. Thanks to our strong relationships with these government agencies, coupled with the value of the service we provide, we enjoyed a strong finish to the month. This level of growth to the Government was achieved despite a 25% decline in sales to the U.S. Postal Service, related to their aggressive restructuring program. Daily sales in Canada for June increased 8 % in U.S. dollars, up 14% in local currency. The 14% local currency daily sales growth consisted of 12 percentage points from volume and 2 percentage points from price. Similar to the quarter, sales growth in Canada was driven by strong performance in the Commercial, Oil & Gas, Utilities, and Contractor end markets. Daily sales for our Other Businesses increased 86% in June, consisting of 75 percentage points from acquisitions, 25 percentage points from volume, partially offset by a negative 14 percentage points from unfavorable foreign exchange. Sales in the month of July are off to a good start. Despite the challenges of having the Fourth of July on a Wednesday, daily sales growth to date is trending in line with the 12% growth in June. Now I would like to turn the discussion over to Bill Chapman.